Operator: Good day and thank you for standing by. Welcome to the Sharecare First Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised, that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Evan Smith, Senior Vice President of Finance and Investor Relations. Please go ahead.
Evan Smith: Thank you. Good morning and welcome to Sharecare's first quarter fiscal 2022 earnings conference call and webcast. [Operator Instructions] This is Evan Smith, SVP of Finance and Investor Relations. After today's presentation, there will be an opportunity to ask questions. Leading today's call are Mr. Jeff Arnold, Chairman and CEO; and Mr. Justin Ferrero, President and Chief Financial Officer. Today's call is being recorded and an archive of the recording will be available later today on the investor relations section of our website. Before we begin, we would like to remind you that certain statements made during this call will be forward-looking statements within the meaning of the safe harbor provision of the Private Securities Litigation Reform Act of 1995 which includes our second quarter and full year 2022 guidance. These forward-looking statements are subject to various risks and uncertainties and reflect our current expectations based on our beliefs, assumptions and information currently available to us. Although we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that will occur after this call. Descriptions of some of the factors that could cause actual results to differ materially from these forward-looking statements are discussed in more detail in our filings with the SEC including the risk factors section of our Form 10-K for the year ended December 31, 2021. In addition, please note that the company will be discussing certain non-GAAP financial measures that we believe are important to evaluating performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and reconciliation of historical non-GAAP financial measures can be found in a press release that is posted on the company's website. I would now like to hand the conference call to Mr. Jeff Arnold. Jeff, please go ahead.
Jeff Arnold: Thank you, Evan. And thank you all for joining us this morning. Coming off a successful build here in 2021, we believe we entered fiscal 2022 in the strongest position in the company's history across all three channels. Continuing to sign new clients, renew and retain existing clients and build a strong pipeline several times beyond where it was one year ago. The exceptional growth in our pipeline has benefited from our larger sales team and expanded integrated platform capabilities. To further support growth going forward, we are continuing to expand our sales team as well as relationships with leading benefits consulting firms and channel partners to further extend our reach and increase our market penetration. In addition, we continue to have strong client retention over 95% across all channels, including securing a 3-year renewal with our largest client which I mentioned on our last call. In the first quarter, we exceeded our guidance delivering revenue of $100.7 million, 12% ahead of the prior year and positive adjusted EBITDA while continuing to invest in sales and marketing as well as product and technology to support accelerated growth in the second half of the year and into 2023. With over $250 million in cash on our balance sheet to support growth across all three channels, we remain confident in our full year guidance and ability to be cash flow positive by the end of the year. Given the strength of our performance and balance sheet and our confidence in our outlook for fiscal 2022 and fiscal 2023, market volatility in our stock price has created attractive buying conditions at various times. Therefore, the board has approved a $50 million share repurchase program. We'll be strategic and opportunistic to take advantage of those situations on behalf of our shareholders. As an enterprise we've gone to market with a single digital front door that fully and seamlessly integrates a suite of virtual care and high touch offerings, including the introduction of Sharecare Plus, our advocacy solution, a tech-enabled home care offering with care links, a library of clinically accredited digital therapeutics and now virtual primary care as part of our solution set. Further, by integrating data from Sharecare's community wellbeing index into our engagement platform, we are uniquely positioned to consider the impact of social determinants of health which account for up to 80% of differences in health outcomes between individuals. Health equity is increasingly becoming a critical component of how clients are looking at more effectively addressing their diverse populations and the communities in which they work, live, pray and play. So let me take a moment to refresh everyone on the value of our community wellbeing index. The index is a benchmark of our nation's health that enables states and communities to understand health risk and opportunities across physical and financial resilience, social and community context and everyday purpose. Our index is based on surveys from every community in the US and brings together more than 600 proven health risk factors into a single measure, combining both individual and social factors. By leveraging a combination of social risk and clinical informatics, we can inform our enterprise clients on the best solutions to address their populations' highest health risk, including those represented in their clinical profile and the social determinants of health that define their environment and surroundings. We are confident that our comprehensive data-driven platform places Sharecare in a strong position compared to those who are more narrowly focused on digital or high touchpoint solutions. By delivering a seamless digital front door that addresses the needs of each member of an entire client population, we not only improve each individual's experience and health outcomes but also reduce the administrative burden and cost associated with managing a litany of solutions. Our platform and value we are creating is driving new business wins and pipeline opportunities across the enterprise channel. We had approximately 11 million eligible lives on the platform in the first quarter with additional growth expected as we launch new programs and onboard new clients in the second half of the year. In addition to the 70,000 eligible lives for Sharecare Plus that will go live in 2023, we discussed in the last earnings call we now have more than 10 mid-sized and large employers in late stage contracting and additional opportunities in the pipeline. In addition, CareLinx, our tech enabled home care solution continued to expand during the quarter and is exceeding our initial growth targets. With an NPS score of 95, clearly demonstrating its high quality service, CareLinx added new business with existing payer customers, one new payer clients and expanded pipeline opportunities across its service offering. These wins and opportunities will support growth in fiscal 2022 and 2023. By expanding our reach into virtual primary care with Hydrogen Health, a joint venture with Anthem, K Health and Blackstone, we showcase another example of the versatility of our approach as well as our strong partnership with Anthem. Sharecare's interoperable platform enables us to quickly add new capabilities that are important to our clients, whether we build, buy or partner to achieve them and in turn, retain our focus on enhancing engagement, navigation and tech enabled capabilities that drive value across the entire patient journey. This approach will also drive higher PMPM engagements and increase cross-selling and upselling opportunities. As a result of our new wins partnerships and continued innovation, we remain confident in increased momentum for enterprise as we move towards the second half of fiscal 2022 and then to fiscal 2023. Now, let's move onto the provider business. During the quarter, we delivered strong year-over-year growth, primarily reflecting increased record retrieval results which are expected to sequentially improve as we move through the year. We remain on plan to achieve our target of 6 million medical records retrieved for the year. Growth in this area supported by increased penetration of existing clients, solid client retention and securing new business. During the quarter, we onboarded over 100 new client sites and continued to see upward growth trends with a significant increase in the average deal size and nearly double the opportunities in our pipeline including those with additional large payers. The underlying market trends remain strong for record retrieval and ROI with increased demand for audits, Medicare and commercial risk adjustment, [indiscernible] and demand for improved revenue cycle management to review and expedite claims or address denied claims. In addition, due to the CARES Act, recent regulation and increased interest in Fast Healthcare Interoperability Resources or FHIR, we are seeing an increasing number of interoperability solutions that we can apply to our offering which will drive new use cases and expand our market opportunity. The move to digitize the release of information process and record retrieval business will reduce the manual administration oversight and make it easier to facilitate the requested information quickly and compliantly for patients, providers, payers, insurance companies and other clients. When combined with the implementation of robotic process, automation, we believe we can deliver even higher performance for our customers as well as improve our margins going forward. And in life sciences, we continue to grow our top 10 existing client contracts as well as secure new opportunities for our digital patient engagement solutions on behalf of leading pharmaceutical brands. During the quarter, we conducted a customer feedback survey which demonstrate over 90% client satisfaction highlighting our knowledge of each customer's subject matter, service level and campaign performance as well as their likelihood to recommend us. This underscores why we see solid metrics for the business, including a nearly 100% renewal rate in the quarter and new client wins. Consistent with the prior quarter, we have strong visibility into both our contracted and pipeline opportunities with a double digit increase in new opportunities compared with the same time last year. The strength of our content, first person data and our personalized omnichannel approach continues to drive program execution and competitive advantage. Sharecare digital platform simplifies the health journey for every person providing one place to go for all your wellbeing, healthcare and benefits related needs. It empowers each individual to better understand and manage their health every day, addressing rising costs and diverse healthcare and wellness needs. It also empowers our payer, employer and provider clients to provide a single digital front door to their populations, driving increased engagement while enhancing productivity and retention and simultaneously delivering improved costs and outcomes. In addition, as a comprehensive navigation and advocacy platform, we help uncover gaps in care across the entire patient journey, helping to drive care to optimal and lower cost settings, including virtual or in-home care. In closing, in 21, we established a stronger foundation for success by adding Doc AI to drive innovation and product development, partnering with Anthem to build a digital first payer agnostic advocacy solution, expanding our sales team and enabling us to increase our reach with existing and new clients, extending our presence into the home by acquiring CareLinx and going public which enabled us to strengthen our balance sheet to support future growth. In 2022, we are building on this stronger foundation, focusing on selling larger engagements, creating more opportunities for cross-selling and continuing to invest in efforts that deliver more value and product innovation to support our clients. In addition, by expanding with strategic partners and investing internally to improve automation and operational efficiency, we believe we will drive accelerated top and bottom line growth in 2023 and going forward. To this end, our objectives remain unchanged, increase the number of covered lives on our digital platform, continue to integrate new tech enabled capabilities, whether wholly-owned or through partnerships and drive engagements, improve access, enhance outcomes and lower cost. Now, let me turn the call over to Justin who will review our financial results for the quarter and the fiscal year and share our financial outlook and assumptions for fiscal 2022. Justin?
Justin Ferrero: Thanks, Jeff. And thanks to everyone on the call for your interest in Sharecare. As Jeff indicated, we delivered strong results for the first quarter of 2022 for both revenue and adjusted EBITDA. Our first quarter revenue grew 12% to a $100.7 million from $90.2 million a year ago, exceeding the top end of our guidance. Growth in the quarter was positively impacted by year-over-year increases in eligible lives on the platform and increased number of records retrieved. Year-over-year growth also was impacted by our previously disclosed decision to sunset certain businesses which had revenue of approximately $11 million in the prior year period. Adjusted EBITDA for the quarter was 150,000 positive from 7.1 million for the prior year, slightly ahead of our breakeven guidance. Adjusted EBITDA was driven by the same factors as revenue as well as incremental public company expenses and increased investments in product and technology and salesforce expansion to support growth. We expect these investments to support our long term growth and drive additional operating leverage in the second half of the year, as we gain greater traction for the Sharecare digital platform, expand our record retrieval and execute in our life sciences channel with existing and new customers. Our free cash flow which included $7.5 million of non-recurring items related to transaction and integration costs came in better than expected, placing us in a good position to be free cash flow breakeven by year end. We remain in a strong financial position ending the quarter with $253 million in cash on our balance sheet. I'll now turn to our guidance for the second quarter and full year 2022. To reiterate what we disclosed last quarter, guidance reflects the actions we disclosed for our health security portfolio and our patient-centered medical home business. Our Q2 guidance for revenue is $101 million to $103 million, an increase of approximately 4% over fiscal 2021 using the midpoint of the range. Note, the businesses that were sunset represented approximately 13 million in revenue in the prior year period. When combined with our first quarter performance, revenue for the first half of the year is expected to be slightly better than the assumption we provided on our year end call in which we stated that 40% of our revenue would occur in the first half of the year. In addition, adjusted EBITDA is expected to be approximately between $1 million and $2 million positive. Our full year guidance remains unchanged. For the full year, revenue guidance is 470 million to 500 million, an increase of approximately 15% to 20% over fiscal 2021. Adjusted EBITDA is expected to be 30 million to 36 million or 22% year-over-year growth at the midpoint. While we continue to invest in the platform, expand our salesforce and support the rollout of Sharecare Plus, we anticipate adjusted EBITDA margins in line with or better than 2021 because of the inherent operating leverage. Please refer to our press release for our full year guidance assumptions which also remain unchanged. We remain confident in 2022, delivering strong year-over-year revenue growth and solid adjusted EBITDA performance while building a strong runway for fiscal 2023. With that, we will move to Q&A.
Operator: [Operator Instructions] Our first question comes from Richard Close with Canaccord.
Richard Close: Congratulations on the quarter. Justin, maybe just walk us through the guidance a little bit more in terms of the confidence. Obviously, there's a big ramp in the second half of the year but maybe go over some of the building blocks to get there.
Justin Ferrero: Yes, thanks for the question, Richard. So it's in line with expectations as we pointed out in the first year end call that we would do 40% in the first half and 60% in the second half. And that comes from a number of areas. Number one is on the provider business, we have strong sequential growth over the course of the year. On the consumer business, I think you'll remember that we have seasonality in that business and the second half, especially fourth quarter is always the highest quarter of the year, typically 35% give or take for the entire year. And then on the enterprise side, we have a robust pipeline and we're onboarding new customers that begin in Q3 and feel very confident in the growth there as well. So it's really a similar cadence to last year.
Richard Close: Okay, that's helpful. And Jeff, maybe talk a little bit about the pipeline and moving customers from pipeline to actually sign contracts. Some other companies have talked about strong pipelines but maybe delays in getting deals completed. Can you just talk a little bit about what you're seeing in the marketplace please?
Jeff Arnold: Sure. Well, I think first of all, we have a really robust capabilities and platform. So we have lots of products to sell to enterprise which is helping us retain our clients and win new logos. And we're starting to really see the benefits of the investment that we've made with the sales team. So we brought on a new sales leader last year from Salesforce. We've added 15 more salespeople since the last time we spoke and the pipeline is 5X what it was at this time last year. So yes, that gives us confidence in this year and next year and obviously it's a competitive space but we feel like we have a differentiated offering and we're seeing it with our renewals and we're seeing it in our pipeline growth and it doesn't feel to me like anything has slowed down.
Richard Close: Okay, that's helpful. And my final question is on the Hydrogen Health and how do you guys play in that virtual primary care? Are you an actual part owner of that? That was new to me.
Jeff Arnold: Yes. So you might be familiar that Hydrogen Health is a joint venture between K Health, Anthem and Blackstone. And as part of us building out our differentiated Sharecare plus advocacy solution, we wanted to add a virtual primary care solution. And so we've added that to Sharecare plus as a partner, similar to how some of our other digital therapeutics that we have. So we're thinking of us as distribution for K Health.
Operator: Our next question comes from David Larsen with BTIG.
David Larsen: Can you please talk about the selling momentum on the enterprise side? How are things progressing with the advocacy business itself and what broadly is driving that [indiscernible] engage members more aggressively? Any color on the relationship with Anthem as well as CareLinx?
Jeff Arnold: Sure. So we're going to market with Sharecare Plus in multiple ways. So one is we have a large current book of business. So as you know, we have many health plans and many employers that utilize Sharecare. We've now added Sharecare Plus. And so through our account management team, we are in aggressively selling Sharecare Plus as an add-on to what they've already bought from Sharecare. So that's number one. And as we announced on the last quarter, we have already signed up 70,000 lives through that channel direct. In addition to that, we signed a national collaboration agreement with Anthem for their national accounts team. And so Anthem has and many of their large RFPs have written Sharecare Plus in as part of that RFP. And so we've been pitching clients in conjunction with them and has brought us into a lot of opportunities that we haven't had before. And then lastly, we've got just a much bigger sales team than we did a year ago and we've invested a lot of time in having heavy presence at the conferences. Like we were at the Blues conference last week. We're at conference board yesterday. And so we're getting a lot more RFPs and a lot more [indiscernible]. And then lastly, we've invested a lot more time with the brokers, maybe something that we are underinvested in, in the past. And so working with the large consultants, they've started to bring us into new RFPs as well. So it's a combination of take all those clients that we have on Sharecare currently and upsell them Sharecare Plus. Work with Anthem where it's multi-payer big national accounts and embed us into the RFP and then get our salesforce trained and get us as many as possible [ph]. And we're finding that when we get to the finalist stage that we've got a really good closing hit rate.
David Larsen: Okay. That's very helpful. And then for the patient-centered medical home business and advocacy business, are those costs off your books or will they roll off your books soon or will they convert to more variable cost businesses?
Justin Ferrero: Yes. So Dave, thank you for the question. Those costs are still on our books. The quarter would've been about a million and a half higher on EBITDA and we expect those to roll off through the year.
David Larsen: Okay, great. That's very helpful. And just one last one. How high can your PMPM get?
Jeff Arnold: Well, I mean, we've seen a pretty dramatic increase over the 70,000 lives that we've contracted for. I'd say on average, it's gone up 5 times, our PMPM but I think there's still a much higher ceiling for it as we add virtual primary care and other services like that. So I've seen some recent RFPs gone out that is in the $18 PMPM range. This time last year, it was around $2. So we've increased it pretty dramatically by adding advocacy, adding CareLinx, now adding virtual primary care.
Operator: Our next question comes from Cindy Motz with Goldman Sachs.
Cindy Motz: I have a couple of questions. So can you provide the breakout between the businesses? I think you usually do that the enterprise, the provider, then consumer or just sort of rough. And then just on that PMPM question in terms of the overall average, is it still around $2? Because again, I know that maybe potentially it could be $18 but that's obviously not the average. And then I had a question also on the add-back to the EBITDA of about 7.3 million. That's obviously some transaction cost of 2 million but then there's like reorg and other non-operating. Is that something we're going to see throughout the year? Just curious if that's in your guidance. Thanks.
Justin Ferrero: Okay. Yes. So I'll take the first. Cindy, thank you for the question. It's Justin. So on the first question, it was breaking out the revenue. And so the consumer business came in around 16 million. The provider business came in almost at 25 million and our enterprise business was almost 60 million. So for a 100.7 million total. And then on the PMPM, answer is, I think, our average is around $2 but every deal that we're pitching now is $8 plus. I think where there's been a lot of conversations around pricing pressure on the PMPM, we have seen that for a while which is why our strategy has always been a platform, where we bring more diversified products to the market and we can bundle. And we're actually moving up the food chain on PMPM. So from just straight digital and engagement to now benefits navigation to home health. So we see our PMPMs expanding over time.
Cindy Motz: When I calculate it, like when I look at last quarter, if you went to 11 million but I guess it depends on the cadence of how that came in. It looked like it was less than the fourth quarter. Like maybe there was a little pressure but maybe it's how the people came in, because you were [indiscernible] lives at the end of the fourth quarter. And so you're 11 million but maybe they came in late in the quarter. I'm just guessing.
Justin Ferrero: Yes, it depends on also which lives, what type of lives come in. And so ultimately if it's benefits navigation lives, more heavily weighted than it'll be higher PMPM. We had a significant onboarding around our home health area which is a slightly lower PMPM. So it's really just mix. But we expect over the course of the year to be in that $2 PMPM range. And what I was referring to on the Sharecare plus is all for 2023 sales.
Cindy Motz: Okay. And that does include CareLinx though, as well, like I'm going to guess around 7.5 million or so, whatever we can follow up offline on the specifics but then just the EBITDA question would be good as well.
Justin Ferrero: Okay. What was the EBITDA question again? I apologize.
Cindy Motz: Sorry. So you had an add-back of about 7.4 million to get to the 0.15 in adjusted EBITDA and I know part of its transaction costs I would assume from CareLinx but there's another, non-recurring 3.2 million and then 2.2 million of reorg costs. I'm just curious, those are cash costs. And are they going to continue into the rest of the year or we're not going to see that anymore? It is a one-time thing. [indiscernible].
Justin Ferrero: We've built in to have some of these costs in for the rest of the year when we've talked about our- when we guided to our cash earn but this is systems integration as we integrate the CareLinx and other areas, this is reorg integration cost. Some of that is severance and then there's acquisition related costs which is earn out. We're active in the M&A market. So there'll be some of these costs in there but we don't believe at this level and that will start to come down.
Operator: Our next question comes from Eric Percher with Nephron Research.
Eric Percher: I'd like to start with the Share purchase authorization or maybe capital deployment more broadly. It seems like you're indicating here what you think of the stock price and the cash flow positive goal. I'd be interested to hear about that but also your thoughts on the M&A environment, whether you're seeing a decline in valuations or whether it's taking time for valuations to react to the marketplace.
Justin Ferrero: Well, maybe I'll start on the buyback. We're going to be judicious with it but clearly, we believe we have a unique company. We're going to grow 15% to 20% this year. We're adjusted EBITDA positive. We're on a path to be cash flow breakeven by the end of the year. We have a strong balance sheet. No debt. We have a diversified business model and trading at these levels, we just believe we're undervalued and we're going to be opportunistic, if this is what continues. And as it relates to your second question on the M&A front, obviously we've seen a big pullback on public companies in our space. I think on the private side, that pullback hasn't caught up yet as much as on the public companies but we expect it to and we're constantly evaluating opportunities and we'll look for tuck-ins that we think are good value for the company and our shareholders.
Eric Percher: Okay. And maybe tangential to that on the digital therapeutic side, the Hydrogen addition offering is interesting. I'd love to hear about how you think that plugs into the total offering. And also does that enable potentially other digital therapeutics that need to have a virtual component or do you think of each as individual or may stay individual?
Jeff Arnold: Well, we see because we have a platform approach. We have this idea of what do we build, what do we partner for and what do we buy? And on the virtual primary care side, we wanted to add that to Sharecare Plus and so as we were selling our advocacy solution, virtual primary care would be an add-on. And Anthem having the relationship with K Health was kind of the logical choice for us. And so we've integrated that. An example of building is we operate Dean Orange's program for reversing heart disease and other chronic conditions. That's reimbursed at $9,000 a patient from Medicare. We're virtualizing that program right now. During COVID, CMS came out and said they would now reimburse for virtual sessions. And so we're building like our virtual version of that in-house right now as an example of one capability that we're building out ourselves. And then, we're looking at all these other various chronic conditions and doing the similar analysis. We have that whole portfolio of products that we own with mind sciences, where we have our weight loss programs and our smoking programs and our anxiety programs. We're green lighting the development of many more ranging from hypertension to addiction. All those will have a virtual component.
Eric Percher: Got you. And last question, you commented on the various channels for Sharecare Plus and I think it was 10 incremental clients. Could you speak to the timing when it comes to closing sales, where you think you have the earliest opportunities versus later and when you talk to 10 clients, would that also include clients that are accessed via Anthem, or do you consider Anthem one client?
Jeff Arnold: I consider Anthem as one client but I know how many RFPs we're in and it's greater than 10 but I consider them as one client. And then those 10 that I was referring to were direct sales. And we are hopeful that some of those will start in January of 2023 but we're still selling for 23 in all of them. It's just when do they start- we haven't started the 24 sales cycle yet.
Eric Percher: I mean more of those channels 423 which are the ones where you expect the quickest return or generation of new clients?
Jeff Arnold: I think it's going to be a healthy mix of both. We expect to have wins through our partnership with Anthem and we expect to close sales ourselves. And so I think it'll be a healthy mix of both.
Operator: [Operator Instructions] Our next question comes from Richard Close with Canaccord.
Richard Close: My question was answered. It was the share repurchase and cash flow. Thank you.
Operator: Thank you. I'm currently showing no further questions at this time. I'd like to turn the call back over to Jeff Arnold for closing remarks.
Jeff Arnold: Okay, great. Well, thank you everybody for your time this morning and your interest in Sharecare. We know the market has been very volatile but we believe in our plan. We're reaffirming guidance for the year. We're launching a $50 million stock repurchase program. We're going to continue to be active on the M&A front. We're going to continue to invest in sales and we're committed to get cash flow positive in 2022. So have a great day and thanks again for your interest.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.